Linda Hasenfratz: Good afternoon, everyone, and welcome to our Second Quarter Conference Call. Joining me this afternoon are members of my executive team, Jim Jarrell; Dale Schneider; Roger Fulton; Mark Stoddart; as well as members of our corporate IR, marketing, finance and legal team. If you can advance the slide? Before I begin, I will draw your attention to the disclaimer that is currently being broadcast. Okay. I'm going to start off with an update on the COVID-19 crisis and Linamar's reaction to such. So as you know, we took a four step approach to dealing with COVID-19: assemble a team; gather data; make a plan; execute on the plan; and, of course, communicate broadly throughout. And we have continued to make excellent progress in this regard. Our focus right now is very much on the next phase of this crisis: restarting, rejuvenating and recovering. First and foremost, we are determined to create a work environment where people feel and are as safe or safer coming to work than not coming to work. More than 90% of our employees are now back at work, which is great to see. We have had a few positive cases pop-up, which is to be expected given the easing of restrictions broadly. The key is to stop any chance of the virus spreading within our facilities, and I believe we are doing a really good job of that. We've had no serious outbreaks in any of our plants. We're learning as we go, of course, on adjusting our protocols as required to address any concerns that do pop up. At the same time, I think it is really important for us all to play a role in rebuilding confidence to spur our economic recovery: confidence in our ability to work safely, which we absolutely are, in the economy to weather the storm and governments to manage the debt incurred and trying to mitigate the personal and economic impact of what we've experienced. Our safe work protocol is based on five key principles: screening; PPE, including masks and/or face shields; distancing; increased cleaning and hygiene; and contact tracing. We are regularly surveying our employees as to how safe they feel at work and the adequacy of the safe work protocols and have had great consistently strong scores for both metrics if we have started doing so. If there's a concern in any one plant or any one region in terms of how people are feeling, we can quickly focus in on that through the data that we're gathering, which does allow us to drill down by region and by plant. We're making excellent progress on the cash management and cost control aspects of our Linamar Health First action plan, as you see with our second quarter results. Capital spending was cut by more than 80% in the quarter to just $24 million, and we implemented cost savings of more than $30 million realized just in Q2 alone. Our global cost team has identified and implemented nearly $30 million of annualized savings, and every plant group and region has implemented significantly more savings in their areas as well. In terms of our balance sheet, we continue to be in a very strong position, thanks to the success of our cost and cash initiatives. I'd like to point out that we have not lost focus on these areas, as we believe there is still a lot of uncertainty out there and now is not the time for us to become complacent. We look in detail at forecast at least two quarters out every single week on sales, earnings and cash, and we struck tax to ensure we're aware of any potential weaknesses. We've run trust models in which we model another two month shutdown, which, by the way, we feel is very unlikely to happen and others where we cut output significantly for the remainder of the year. In both cases, we remain profitable for the year, generate cash for the full year and do not reach our covenants. We do not have any debt maturing this year. We early paid a private placement note in the quarter that was due 15 months from now from a risk mitigation perspective and to take advantage of lower cost current borrowing rates. Dale will provide more information for you shortly on that transaction. Here, you can see the stress scenarios I described, which basically cut in half current expected operating earnings levels, and as noted, still leave us profitable, still leave us generating cash and not reaching any covenants. Another key area focus for us, of course, has been community support. I think we've done an excellent job in rapidly retooling lines for ventilator components and full assembly production. And I think it's just a great example of Linamar's innovation, our responsiveness and our flexibility. We were in part production on several orders for ventilator parts within two weeks of the first phone call. We were assembly ready to build the UV disinfection units for clean slate in just four weeks, and we were assembly ready to build our ICU in a box integrated ventilator on life support systems for Thornhill, comprised, by the way, a 1,700 different components in only six weeks. How did we manage to do that? Well, we were able to do it because we are a remarkably agile, flexible company, both in our management style, in our engineering and supply chain management capabilities and in our actual equipment, which can be easily and rapidly ritual to new programs. We are technically incredibly deep. Our team is fantastic, and it's adaptable, and our lean manufacturing skills are transferable. Now I'm blowing this horn a little bit because we're often questioned and challenged about how Linamar will handle a changing landscape of design and technology in the fields in which we focus. Linamar is an advanced manufacturing company through and through. We can design and manufacture products for all kinds of industries and do and will continue to do so long into the future regardless of where technologies take up. We see technology change as only one thing, opportunity. And we will, as we always have, chase those opportunities down and continue to prosper. We're at various stages of completion for these different products. For the component work for GM, ZOLL and O-Two, we are complete or nearly complete. For Thornhill, we've built about 100 units, and we have – we will have the full order of around 1,000 units complete within a few months. There is some potential for additional volume on this product as well. Similarly, we've built around 100 units for the clean slate disinfection system. And we'll continue to ramp up on production there as we get into the fall. Okay. With that, let's jump into some of the specifics around the quarter, starting with sales, earnings and content. So sales for the quarter were $924 million, down 56% from last year. The pandemic, of course, was the key driver of our results, having cost us an estimated $1.13 billion in sales in the quarter and an estimated $345 million in operating earnings for decremental margins of 31% at the OE level. Lower agricultural sales, as expected, put a bit of a drag on the quarter as well. All of that was mitigated by some fantastic cost savings execution by our team. Launching business on the transportation side also helped as to some extent give some government programs around the world. If I strip out COVID-related sales, earnings and any of the subsidy impact, we did actually see margin growth in both the transportation segment and overall, thanks to this great cost saving work that was done as well as launches. Overall, EBITDA as well remained positive, despite the pressures from the pandemic with double-digit margins. In North America, content per vehicle for the quarter was $192.74, up quite a bit over last year with customers we have a heavy weighting web also seeing the biggest market share gain. The story in Europe and Asia is the same with content per vehicle growth for the quarter in both regions at $86.53 and $14.11, respectively. Production levels were down dramatically in each market, most significantly, of course, in North America and Europe, given the lag to China. China was still down, but recovering from a tough Q1. Global content per vehicle was down a little, which isn't a surprise. We're most heavily weighted in our auto business in North America and Europe, which saw the biggest production decline, thus disproportionately impacting global content per vehicle. Commercial and industrial sales were down 54% in the quarter due to lower Skyjack sales on global markets down nearly 50% as well as lower MacDon sales on soft agricultural markets. The draper header market was down in double digits over last year in Canada where MacDon has strong market share. These declines were partially offset by great market share growth for MacDon in Europe and CIS. In fact, MacDon sales in Europe in the first half of this year were up 86% over prior year levels despite the market being down. This has been a key strategy of MacDon since our acquisition, and it's great to see them delivering on it so strongly. Rapidly cutting back on CapEx was a key priory in the quarter given the headwinds faced, of course, due to the pandemic. As noted, CapEx is down more than 80% compared to last year at $24 million, and we intend to finish the year with CapEx down at least 1/3 from last year. And as already mentioned, we saw another strong quarter of free cash flow, despite weeks of no receivables following customer shutdowns. We saw another $170 million of cash generated. We paid down debt, and we kept our liquidity at $1.1 billion. In fact, we have paid down nearly $600 million of net debt from where we stood a year ago despite the pressures of the pandemic. Levers turned up somewhat to 1.8 times EBITDA due to that soft EBITDA. Q2 will be the peak quarter for leverage with the ratio improving already in Q3 under current forecast. Free cash flow is something Linamar is quite good at managing. We've seen strong free cash flow over the last five years and expect to see positive free cash flow this year as well. In addition, we are seeing strong levels of free cash flow yield. Our strong balance sheet and liquidity mean we have the ability to weather the financial impact of this situation over the next couple of quarters in a way that a lot of suppliers will not be able to. This means we will have the ability to take on takeover work or potentially acquisitions as they arrive and drive even more market share growth to mitigate soft markets and accelerate future growth. Turning to our market outlook. We are seeing markets down across the board this year, which shouldn't be a surprise. Industry experts are predicting steeply declining light vehicle volumes globally this year to 12.6 million, 15.9 million and 37.3 million vehicles in North America, Europe and Asia, respectively. As expected, each market is going to see a strong double-digit recovery in 2021, as I'll show you in a minute. On highway, medium and heavy truck volumes are predicted to be down significantly in all markets this year with growth in most regions next year except Asia. In the access market, the industry is predicting significant declines globally this year, but most notably in North America and Europe, where the market will drop as much as 50%, with the COVID-19 pandemic adding significant pressure to an already soft year in terms of demand. Next year should see some growth resume, although it is difficult to predict at this point in time. In the agricultural market, the industry expectation is for decline in combined draper header markets in the double digits this year in North America, thanks – mainly to a tough harvest last year as well as tariffs and political backlash that is hurting North American farmers and dampening demand, particularly in soybean and canola and particularly in Canada. The European and CIS markets are also expected to decline this year, although Australia may see some improvement and South America are likely to stay fairly flat. The ag market seems to have not been adversely impacted by the current pandemic or market expectations are basically unchanged from our expectations going into the year. MacDon continues to build market share in its international markets, most notably in Europe, to partially offset global market declines, as I just mentioned. But nevertheless, we will see sales down in double digits at MacDon this year, with growth resuming next year. As noted, almost all of these markets does bounce back meaningfully in 2021, if you look pretty much across the board. On the auto side, you can see an increase in 2021 in every region globally after a very tough, obviously, 2020. Not surprising me 2020 is expected to be the trough for global production levels at nearly $70 million, $69.5 million. Q2 of this year will, of course, be the low point in production from a quarterly basis, with production expected to bounce back up over Q1 levels in Q3, although still shy of last year's Q3. Production recovery, of course, drives from consumer demand. You can see here. I think we're maybe one slide ahead, if you could just go back a slide and one more. Yes. Look, if we can go back to the consumer slide with the consumer. Okay. Yes. So sorry, we seem to be off a little bit on our slides. I had a slide that showed consumer demand and how that was reacting in China, in North America and in Europe. So I'll just talk through it a little bit. I apologize that it's not displaying on the screen at the moment. So this is for our auto business. So in China, the consumer retail demand was quite negative right out of the gate. China was quite sharp and deep in terms of the reaction, but then quickly bounced back up well over last year in terms of vehicle demand and consumer demand, which for the last few months has actually been in the double digits. Europe's curve is deep, but broad with low levels of demand lingering for much longer, although we did just see July numbers out today, which is basically back up to 2019 levels. In the U.S., the curve is a lot shallower. It only went down half the level that we saw in Europe. And in China, it is taking a little longer to come back up. So it's broad like Europe, but it didn't go down as deeply. And actually July was only down 12% to prior year. So not nearly as big a drop in North America, which is great to see. Not surprisingly, this is driving higher production levels at the moment in North America and also in China and should bode well for European production when we get back from shutdown in a few weeks as well. So on this slide, you can see the changes to both Q2 and Q3 from what was predicted last quarter in terms of global light vehicle production. Q2 basically turned out exactly as predicted, although lighter production levels for Europe were offset by stronger-than-expected levels for Asia. Q3 is expected to be just like marginally down from last quarter's estimates, mainly dropping out at a little bit less production in Asia Pacific, offset by a little bit stronger production in North America. It's very consistent to what we're seeing in our customers' behavior at the moment as well. This slide illustrates where volumes are now predictive for both 2020 and 2021, both of which are, again, basically very consistent with expectations last quarter. Tiny changes, as you can see. I think it's really good to see that these predictions have leveled off and not continuing to degrade as, frankly, we've seen happen pretty consistently over the last couple of years. In terms of patterns of correction in North America, this correction fits a standard level of reduction that we've seen historically, which is great news. So although COVID-19 did accelerate this change painfully for us, it does mean we can now look forward to volume starting to build again. So looking in more detail at the access market, you can see on the right-hand graph, the sharp declines in both North America and the European market. June, year-to-date, that's the blue bars, is the actual year-to-date. Predictions for 2020 full year as of Q2 are represented by the gray bar, which as you can see for both North America and Europe are roughly 50% and a little bit changed from the orange bar, which was the prediction for 2020 in Q1. Asia has a more positive outlook, but it's also a much smaller market and one that we're just getting established in. So we're definitely more affected by the North American and European markets. On the positive side, equipment utilization levels were trending up in North America, certainly, as we got into the summer. In fact, in June, utilization levels of equipment were at 93% of what they were in June 2019, although we have seen some softening in that regard in July. Here is a little more detail on the agricultural market. You can see North American Combine retails trending up in Q2 after a tough first quarter. But notably, most of that is driving out of the U.S. Canada is down 31% year-to-date and down 26% in Q2 where as no one else – MacDon has dominant market share. Okay. Turning to an update on growth and outlook. You will be pleased to know that we've had a solid quarter in new business wins, despite not being able to physically visit our customers. I will highlight a couple of our more strategic wins in a moment. Electrified vehicles, I'd like to point out, continue to provide great opportunities for us. You can see a steady build in our global content per vehicle for both electric vehicles and hybrids as a result of recent wins. The lines of internal combustion engine, battery electric vehicle and hybrid, global content per vehicle are converging, which, of course, is the goal. Now interestingly, our content per vehicle in the electric vehicles is now predicted to surpass that of hybrid vehicles a few years out for the first time, with continued solid wins in that market seen in the last couple of quarters. And also importantly, our global content per vehicle for battery electric vehicles in only three years is actually equivalent to what our global content per vehicle for internal combustion engine vehicles is today, which is fantastic news. Our addressable market across a range of vehicle propulsion types continues to look excellent with our total addressable market for us today, with around $80 billion, growing to more than $300 billion in the future, an increase of more than 3 times. We have recently updated this analysis to include additional content potential for battery electric vehicles, fuel cell electric vehicles as well as hybrids. And as you can see, the market potential for each is really starting to even up. This is largely driving from the higher potential content we now have in the battery electric, fuel cell electric as well as hybrid vehicles, thanks to continued product development efforts, such as the assembled battery trade we talked to you about last quarter, as an example. In fact, our potential content for battery electric, hybrid electric and fuel cell electric vehicles are now equivalent. In fact, a little higher than the content potential we have for internal combustion engine vehicles, which is great to see. Our launch book is solid and expected to peak at more than $4.3 billion in sales, thanks to new wins this last quarter. We saw a shift of $100 million of programs that moved from launch to production last quarter. Launching programs continue to mitigate market declines despite some delays. As usual, we are summarizing all of these market expectations and changes on our outlook slide that's now being displayed. Obviously, uncertainties about the coming months are still making it difficult to be very specific about our expectations. What we can say is we expect significant double-digit declines in both sales and earnings this year. But we do expect to be profitable overall and in both segments, and 2021 should see strong growth on rallying markets and, of course, solid expansion on the margin side. We expect to maintain leverage levels well under two for the year and improve significantly from that level in 2021, and we do expect to generate positive free cash flow in both years. Looking specifically at Q3, the COVID-19 pandemic will certainly continue to impact our results, but we should see steady improvement. As noted, North America and Asia are nearly back to pre-global COVID forecast levels and the EU is improving. That said, the industrial segment has not yet shown signs of bouncing back and, frankly, is not normally better than Q2 in Q3 in any case. So I will add, as the lawyers insist I do, that impacts from COVID-19 outbreak are currently not fully understood or determinable in terms of their impact to all segments at this point. So of course, risks remain. But that said, if current market conditions persist, Q3 should see a meaningful improvement back towards to end levels for both sales and earnings. So I'm going to finish up highlighting a few of our more interesting wins this quarter, which were notable, again, mainly for electrified vehicles. So first, we picked up a package of e-axle gearbox components for a battery and electric vehicle in the quarter, representing a meaningful level of annual sales. This job is for a new entrant into the battery electric vehicle space. They're headquartered in the U.S., with a great and innovative vehicle design and content. We are excited to, again, be expanding our portfolio of battery electric vehicle customers. Secondly, we were awarded a significant camshaft assembly job in the quarter. The design is very innovative and that is to drive much lower emissions in an internal combustion engine design. The job will launch from one of our 12 facilities and is substantial in its revenue potential as well. And finally, a win for hybrid electric vehicles, this one is in China. It is for a balance shaft module, a key product for smaller-sized engines, which are often used in hybrid design. And the balance shaft module is key to reducing noise, vibration and harshness in those smaller engines. So an interesting growth product for us in hybrid vehicles. So with that, I'm going to turn it over to our CFO, Dale Schneider, to lead us through a more in-depth financial review. Dale, over to you.
Dale Schneider: Thank you, Linda. Good afternoon, everyone. As Linda noted, Q2 was significantly impacted by COVID-19, as expected given the shutdowns that occurred. Despite these impacts, it was a great quarter for cash generation, as we generated $170.5 million of free cash flow, which brings the year-to-date total to $317.6 million. Additionally, we were able to maintain our strong level of liquidity at $1.1 billion, which is unchanged from December 2019 levels. For the quarter, sales were $924 million, down $1.2 billion from $2.1 billion in Q2 2019. Earnings are normalized for FX losses related to the revaluation of the balance sheet and any unusual items that occurred in the quarter. In Q2, earnings were normalized for the cost impact of prepaying the 2021 notes. We made the decision to prepay the notes early. As at the time, there was a high level of uncertainty around OEM restart – OEMs restarting their operations and around their production ramp-up schedules. This caused significant uncertainty for Linamar – Linamar's own recovery and restart plans. To mitigate any potential capital or liquidity risk and given the 30-day notice period within the notes, we decided in May to prepay the notes early. The prepayment was funded with available cash. And as such, there will be a benefit over the next 15 months of removing the higher fixed interest rate on the notes in comparison to current market rates. As a result, we are expecting a payback of just over 15 months at today's current rates. The impact from prepaying the notes was $0.11 per share on EPS. Earnings were further normalized for FX losses related to the revaluation of the balance sheet, which impacted EPS by $0.13 per share. Normalized operating losses for the quarter were $19.4 million. This compares to earnings of $225.3 million in Q2 2019, a decrease of $244.7 million or 108.6%. Normalized net earnings decreased $180.3 million or 113.9% in the quarter to a loss of $22 million. Fully diluted normalized EPS decreased by $2.74 or 114.2% to a loss of $0.34. Included in earnings for the quarter was a foreign exchange loss of $11 million, which resulted from a $5.9 million loss related to the revaluation of operating balances and a $5.1 million loss due to the revaluation of financing balances. As I mentioned, the net FX loss impacted the quarter's EPS by $0.13. From a business segment perspective, the Q2 FX loss due to the revaluation of operating balances of $5.9 million was a result of a $12 million loss in industrial and a $6.1 million gain in transportation. Further looking at the segments, industrial sales decreased by 56.7% or $339.9 million to $259.2 million in Q2. The decrease for the quarter was due to the sales declines associated with the global COVID-19 pandemic and the expected agricultural sales declines due to the ongoing issues in these markets as we have discussed over the last number of quarters. Normalized industrial operating earnings for Q2 decreased $71 million or 66% over last year to $36.5 million. Primary drivers impacting industrial were the lower volumes, as I just discussed. This was partially offset by various government support programs related to COVID-19. Turning to transportation. Sales decreased by $822.6 million over Q2 last year to $664 million. Sales decrease in the second quarter was driven by the impact of COVID-19 and the resulting customer shutdowns that incurred in the quarter. This was lessened by a favorable FX impact due to the changes in rates since last year. Q2 normalized earnings for transportation were lower by $173.7 million or 147.5% over last year. In the quarter, transportation earnings were impacted primarily by the COVID-19 shutdowns, which was partially offset by the targeted cost reductions achieved in the quarter, the various government support programs for COVID-19 and a favorable FX impact due to the changes in rates of last year. Returning to the overall Linamar results. The company's gross margin was $41 million, a decrease of $293.4 million, primarily due to the lower earnings from the reduced volumes in both segments, due to the impact of COVID-19. The lower volumes in agriculture, which was mitigated by the targeted cost reductions achieved and the impact of various global government support programs. COGS amortization expense for the second quarter was $109.4 million. COGS amortization as a percent of sales increased to 11.8%, primarily to the significant decline in sales related to COVID-19 in the quarter. Selling, general and administration costs decreased in the quarter to $60.4 million from $111 million. The decrease is mainly due to targeted cost reductions to help offset COVID-19 impact on our earnings and due to the impact of various government support programs. Finance expenses increased $4 million since last year due to the impact of prepaying the 2021 notes, which was mitigated by the impact of lower interest rates and lower debt levels. The consolidated effective interest rate for Q2 declined to 2% from 2.9% last year. The effective tax rate for the second quarter decreased to 21.2% compared to last year, which was mainly driven by the impact of the tax adjustment related to prior years that was recorded in the quarter. We are expecting the 2020 full year effective tax rate to be at the high end of our range of 23% to 25%. Linamar's cash position was $375.6 million on June 30, a decrease of $62 million compared to June 2019. Second quarter generated $193.5 million in cash from operating activities, which is used mainly to fund CapEx and note repayments. This also resulted in free cash flow generation of $170.5 million in the quarter. Net debt-to-EBITDA increased slightly to 1.8 times in the quarter as a result of the COVID shutdowns, which was lessened by the strong cash generation in the quarter. Based on current estimates, we are expecting to remain well under two times by the end of the year. This is subject to change. The impacts of COVID-19 is still very fluid and may not be currently fully understood. The amount of available credit – on our credit facilities was $754 million at the end of the quarter. Our available liquidity at the end of Q2 was $1.1 billion. And as a result, we currently believe we have sufficient liquidity to satisfy our financial obligations during 2020. To recap, sales and earnings for the quarter was a story of COVID-19. With the dramatic impact the pandemic is having at Linamar, the critical story is one of cash and liquidity. Linamar had a remarkable cash generation quarter, as we generated $117.5 million in the quarter and $317.6 million year-to-date in free cash flow and maintaining strong liquidity at 2019 levels of $1.1 billion. That concludes my commentary, and I'd now like to open it up for questions.
Operator: [Operator Instructions] Your first question comes from Mark Neville with Scotiabank.
Mark Neville: Thanks for taking my questions. First, Linda, you made a comment, I think, during the outlook. I just want to clarify that Q3 would be back towards or trend towards Q1 levels, sales and profitability. I wasn't sure if that was consolidated or industrial?
Linda Hasenfratz: No, I was talking about our overall Q3 results. So if you look at the outlook slide that's being displayed right now, over on the side, you can see our outlook for Q3. So we're talking a little bit about the industrial, specifically. And then at the bottom, we're talking about the overall consolidated results that we feel will be bouncing back up in a meaningful way to get towards where we were in Q1.
Mark Neville: Okay. And I know you're not providing sort of an outlook or – I mean, this is good color, but I guess, we can make our own assumptions around the transport. But around the industrial, do you have sort of – do you – are you willing to sort of make a ballpark estimate of where you think sales may be down for the year at consolidated industrial?
Linda Hasenfratz: Well, no. I mean, as you know, we don't give specifics at or really around what our forward-looking information is going to be. And certainly, right now, with so much uncertainty around what's happening is certainly not the quarter to start giving you a number in terms of what's going to be happening with our industrial business.
Mark Neville: Sure. Understood. But it is the quarter to ask, but thanks anyway. Dale, just a point of clarification for you. The government grants or subsidies in the quarter, I think it was $52 million or $53 million. Is that correct? And maybe how does that flow through the P&L? Is there anything different segments is running through the corporate line? I'm just trying to understand how it sort of helps each business segment in the quarter?
Dale Schneider: Most – yes, the $52.8 million does flow through the statements in various locations because most of it is related to wages and benefits. So it does hit cost of goods sold and SG&A. We haven't split it out by segment, though. But obviously, as majority of our employees are in the transformation segment, we have the biggest impact.
Mark Neville: Fair enough. Maybe just one last question, if I can. Just on the working cap, obviously, it was a great quarter. But is some of that – I assume some of that reverses in the second half as the business ramps. Maybe just trying to get an idea sort of what the second half investment might look like. Or if you'd still see some cash coming out of working capital?
Linda Hasenfratz: Yes. I mean, certainly, on the CapEx side, we're going to start to need to spend again. I mean we ratcheted back quite significantly in the second quarter, but we're going to – we will start spending again, but still for the year should be down significantly from last year. In terms of noncash, I mean, obviously, as we ramp up, there's a pull on noncash working capital, but also an opportunity for managing the receivables, particularly on the auto side, through some programs we have in place. So that sort of offsets that. So we don't see a huge stocking found on the noncash side, and do actually expect to continue to generate free cash flow throughout the back half of the year. Dale, did you have anything else you want to add to that?
Dale Schneider: No, I thought that was an excellent answer.
Mark Neville: All right. Thanks a lot. I’ll get back in queue.
Linda Hasenfratz: Thanks, Mark.
Operator: And your next question comes Krista Friesen with CIBC.
Krista Friesen: Hi, good afternoon. Just a question on your free cash flow. It was quite good this quarter in spite of the pandemic. I was just wondering how you think about returning cash to shareholders as production improves. What sort of metrics you're looking at before becoming more active on your NCIB or returning your dividend to pre-pandemic levels?
Linda Hasenfratz: Yes. So I mean, on the dividend side, the cut to half was always meant to be temporary. And we'd always envisioned it for a couple of quarters. So if things go well, hopefully, we'll be seeing that come back up quite soon. In terms of the NCIB, obviously, we want to support our share price. But given continued uncertainties out there, I think it's definitely premature to do that. But that said, if things continue to transpire, as we currently expect, both the dividend and the buyback will be firmly back on the table and open for discussion because we're seeing some great levels of free cash flow and expect to have good free cash flow next year as well.
Krista Friesen: Okay. Thanks. And just a question on your CPV. So there was a pretty big spike this quarter. And I was wondering how sticky is that number as production increases.
Linda Hasenfratz: Yes. I think that when there's volatility in production, the content per vehicle number tends to flop all over the place, right? So I think that it's probably not that sticky, especially the North American number of $192. I mean it was driven up because customers that we are more heavily weighted with were the ones that were driving the most of the production in the quarter. So as other OEMs start to ramp back up to more meaningful levels of production, I mean, that's going to dilute that down again as well.
Krista Friesen: Okay, thanks. That’s it for me.
Operator: [Operator Instructions] Your next question comes from Peter Sklar with BMO Capital Markets.
Peter Sklar: My first question is the government support levels that you've benefited from the $53 million, which is quite substantial. Was that the major reason why you revised your guidance for the second quarter? Is that you saw – you started to be able to see the benefit coming and you're able to, I guess, calculate what the amount was?
Linda Hasenfratz: No, not at all. I mean that was one piece of the puzzle, right? So I'd say, usually influential in comparing where we thought we'd be when we released first quarter results as opposed to where things started to look like where they panned out was, first and foremost, much stronger North American production levels than we had been expecting. We weren't really sure what was going to happen in terms of the ramp-up. I don't think our customers really did either. And what ended up happening was a much more rapid ramp-up in production than anybody had expected. So that was a really big piece of the puzzle. Also very influential with the significant cost savings. I mean more than $30 million in the quarter, that's not an annualized figure, that's in the quarter cost savings that were realized that was implemented a lot quicker than, frankly, we had expected. And then the government subsidy is a piece of it, but don't forget that, that was met to design to help employers bring employees back to work, right, so that they could get paid at either 100% of their wage or at least 75% of their wage. So of course, we want to tap into the program for the benefit of those people who were laid off. But – and also, it enables us to bring more people back to full-time work than we would have originally done. And the cost of that, of course, has not netted off that $50 million because we did have additional costs for them as well. So there were some costs there that are not netted off.
Jim Jarrell: And maybe just to add to that, Peter, I mean, back in the sort of early May time frame, I mean, when we're working with our customers, they're weekly telling us watch the EDIs, check the releases and all those type of things. So we never really anticipated them jumping back to two shifts or two shifts on some of these applications. So that was really an important factor. Then also, as Linda said, the cost reduction, we created a team basically around the world and things that people wouldn't think of, right, like stop doing subscriptions, stop doing uniform cleaning, stop picking up garbage. I mean things that you don't have the full workload going to stop those things. So we really focused in on that. And then I think the – bringing people back to work, if you look at what we did on ventilators, and the clean slate on the ultraviolet system and then also working with local communities on PPE, like distributing and making things to really support some of those things in the community to get people back to work. So I thought that was really important as well at the time.
Peter Sklar: Okay. But what's the time line for these government subsidies to expire because I assume you're seeing them in Canada, U.S., I'm not too sure if you're seeing them in Mexico. And I don't know where you're at in Europe. And also like on these cost savings, Jim, $30 million in the quarter, like they will creep back in, won't they? Because you can only defer them. At some point, you have to clean your uniforms and you need garbage pickup.
Jim Jarrell: Certainly like some of these...
Linda Hasenfratz: Yes, I mean some of them...
Jim Jarrell: Yes. Go ahead, ma'am.
Linda Hasenfratz: Sorry, Jim. Yes. Some of them are going to come back. But I mean, a lot of it, like there were travel costs that were significantly cut and like conferences, all these kind of things that people aren't going to do. I mean those things are not going to come back by any stretch and putting something off that, "okay, we're just not going to do that this year." There's a lot of cost savings that are sticky and are going to hang on, at least for another few quarters. And with regards to the government subsidy itself, it depends on the country, obviously, that what's happening and what – how long it's going to last. But I mean, certainly, the Canadian program is changing dramatically over the next couple of months as well. Again, to encourage people to come back to work and that's the whole point of it, right? So this – we had costs associated with bringing all those people back to work that is not considered when you look at that $50 million. So you do need to keep that in mind as well. And I'm sorry, I interrupted you, Jim. You go ahead.
Jim Jarrell: No, I think we're on the same page, and it was the same sort of thing. Anything associated with production, Peter, certainly would come back, but I was going to say some of the things, the sustaining stuff about travel and things like that, that people are just not doing – those are sort of longer term until that sort of gets back to a normal state of having a cure vaccine or something, right? I think that will be sort of stay status quo.
Linda Hasenfratz: And I would just lastly say as well that we're still remaining extremely cost conscious. And as I mentioned in my formal comments, not becoming kind of complacent that, "okay, we're coming out of it because there's risk out there." So we're keeping it pretty tight for a while.
Peter Sklar: Okay. Switching gears. Like the – as you point out, like the outlook for the two industrial markets that you're involved in or it's kind of cloudy. It's to really put your finger on how they're going to – how those sectors are going to perform for the rest of the year and into 2021. But can you comment like what are you seeing in your order book for Skyjack and for MacDon? Is the order book stable? Or is it building? Or is it declining? Like what are you seeing for yourselves?
Linda Hasenfratz: Yes. So I mean, for MacDon, as noted, we're expecting the market to be down and it is down. So – but it's not 50% down. I mean it's not down at anything close to that. It's like 10% down. So it's double digit, but it's pretty low double-digit decline. So we had a chart that I showed on that. I think year-to-date was like 9% down. So it will be around that for the year. So for ag, actually, the outlook is pretty good because although this year is a pretty rough year, we are seeing great market share growth like in Europe, for instance, which is really helping to offset that. So we feel like things are not that bad on the ag side. On the access side, I mean, for sure, we're not seeing signs of the market bouncing back yet. So it's very reliant on construction levels, and that's a line on people being able to leave their houses to work. So I think that I thought it was quite positive that we were seeing the equipment utilization levels really ramping up. June being at 93% of where it was a year ago, that was great. But with the sort of resurgence in the U.S. of the virus, we've seen things slow down in July. So it's a little uncertain. And when it's uncertain, the rental houses are fine. So we're not seeing the momentum there yet, but we're seeing the agricultural business performing not too badly. Jim, can you give a little more color on that?
Jim Jarrell: Yes. I was just going to maybe add on the ag side, the – we watch the dealer inventories, and they're at sort of the right levels that we've been thinking through. So that's a pretty important thing that we're watching, Peter. And then also farmer confidence and stuff like that, and those seem in lines with what Linda said. And then access – on the access market, I would say, in general, we're seeing sort of maybe some postponement of stuff, just things like that where we're expecting order intake, it might be getting postponed or deferred a little bit, right? But that's more what we're seeing there on sort of day-to-day feel and touch, right? So that, as Linda was saying, is a little less clear on where that's going to go in the next couple of quarters.
Peter Sklar: Right. And just remind me of the seasonality and the access in terms of the order patterns. Q3 is a weaker quarter than Q2 in terms of order development. Is that true?
Jim Jarrell: Yes.
Peter Sklar: Sorry, just bear with me. I just have one more question, which is like this ramp that we've had in the North American automotive industry, like, as you point out, they're really ramping back quite quickly to try and resolve these depleted inventory levels. Like how has it gone in terms of the industry? Have parts suppliers been able to perform so you're seeing limited interruption? Or has there been kind of stops and starts as you've ramped up? Not saying that Linamar is an issue, but other parts suppliers, a neck so and else been an issue in flow.
Linda Hasenfratz: Yes. I mean, I think overall, it's been visibly smooth, surprisingly so. I mean, certainly, there has been the odd issues here and there, and certainly things regionally like Mexico is having issues. So some states are forcing shutdowns and less shift. But Jim, why don't you add some more color to that?
Jim Jarrell: Yes. It's been really fluid. And yes, there has been some stops and starts and things like that with some suppliers struggling and there's – obviously, there has been and there will be more COVID cases that pop up in the OEM, in the supply base. And – but I got to say overall, in general, I think the protocols that the automotive side and the supply base have been excellent and people are following those. And so – and I think there's a commitment on the OEM side to keep going, that they're not going to stop things. Again, they now – I think we all know we've got to be doing both things, right? We've got to keep people safe, but we also got to keep livelihoods going and the demand is there, right? So – which is really incredible to see as well. So there's been a little bit of here and there, but nothing like – I thought we would see more of it, quite frankly. And – but we've seen some pretty good action.
Peter Sklar: Okay. Those are my questions. Thank you.
Linda Hasenfratz: Great, thanks.
Operator: And there are no further questions. I would like to turn it back over to Linda for any closing remarks.
Linda Hasenfratz: Okay. Great. Thanks very much. Well, to conclude this evening, I'd like to, as always, leave you with three key messages. First, we have executed strongly on our cost reduction and cash generation action plans with excellent results this quarter, including more than $30 million of realized cost savings and free cash flow of $170 million, is I have to stay at one more time. Second, our balance sheet is in strong shape with debt reduced further and liquidity held, despite a very demanding quarter in terms of market pressures. And finally, we are very proud of our teams for their outstanding execution on launching complex ventilator and UV disinfection systems in record time. And at the same time, flawlessly, ramping production back up globally, with now more than 90% of our workforce back to work and working safely. So thanks, everybody, and I hope you all keep well.
Operator: That does conclude today's call. You may now disconnect.